Operator: Welcome to the Finning International Inc. Fourth Quarter 2023 Investor Call and Webcast. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Greg Palaschuk, Executive Vice President and Chief Financial Officer. Please go ahead.
Greg Palaschuk: Thank you, operator. Good morning, everyone, and welcome to Finning's fourth quarter earnings call. Joining me on today's call is Kevin Parkes, our President and CEO. Following our remarks today, we'll open the line to questions. This call is being webcast on the Investor Relations section of finning.com. We've also provided a set of slides that we'll be referencing during our prepared remarks. Slides are posted on the website. And audio follows the call and the accompanying presentation will be archived. Before I turn it over to Kevin, I want to remind everyone that some of the statements provided during this call are forward-looking. Please refer to Slides 9 and 10 for important disclosures about forward-looking information as well as currency and specified financial measures, including non-GAAP financial measures. Please note that forward-looking information is subject to risks, uncertainties and other factors as discussed in our annual information form under Key Business Risks and in our MD&A under Risk Factors and Management and forward-looking information disclaimer. Please treat this information with caution, as our actual results could differ materially from current expectations. Kevin, over to you.
Kevin Parkes: Thank you, Greg, and good morning, everyone. Today, I will speak about our 2023 performance, our fresh strategic priorities, which were presented at our Investor Day. Following my remarks, Greg will speak in more detail about our fourth quarter results. Please turn to Slide 2. I am very proud of our team. They delivered very strong results and performance in 2023. We achieved excellent growth in product support in all regions and won strategically important business that sets the foundation for sustainable growth in future years. We delivered record earnings per share and further strengthened our earnings capacity. We also made good progress in growing our used rental and power systems businesses. I'm grateful to our employees for their commitment and contribution to a record year. We are pleased with 17% growth year-over-year in product support revenue. We grew in all regions by capturing market share, thoughtfully building our capacity and capabilities and executing with discipline in a challenging environments. We increased our technical workforce by 7% in 2023 to nearly 5,500 technicians globally to support a growing number of product support contracts, strong demand for rebuilds, which were up 14% year-over-year. We also made targeted investments in our facilities to better serve our customers. In Canada, we opened a new state-of-the-art RRR facility in Kamloops. We have also centralized five parts warehouses in Edmonton into one, where we still have opportunity for more efficiencies, automation and velocity. In Chile, we are expanding our capabilities and optimizing our mining services footprint in Antofagasta, relocating the service operation to our La Negra facilities, which some of you visited during our September investor tour. We have strengthened our earnings capacity by reducing our SG&A as a percentage of net revenue to 17.2% in 2023, despite persistent inflationary pressures. Our adjusted earnings per share increased by 20% year-over-year to an all-time high of $3.91. And our 2023 adjusted return on invested capital improved to 20%, led by South America. I would also like to acknowledge our team's resilience and dedication to our customers as we manage through some business challenges in the fourth quarter. This was particularly in Argentina, where the changing government led to significant disruption to our business, our employees and their families. Construction product support activity in Canada and the U.K. and Ireland was more challenging than we expected in the fourth quarter. We expect this to recover through 2024 as the operating environment improves. Whilst we achieved strong profitable growth over the last two years, free cash flow generation was challenging, as we reinvested in growing our business and manage supply chain challenges to support our customers. To my comments earlier around strategically important wins, in 2023, we delivered 60 ultra-class Caterpillar trucks in Canada and Chile, and 50 large mining trucks to contractors. We are pleased to end the year with positive free cash flow and a strong balance sheet. The majority of our inventory is high quality and has been committed to our customers. As growth rates moderate, improving our resilience and unlocking invested capital will be critical. In 2024, we will be working to increase our invested capital velocity, prioritize our cost and capital resources and improve our free cash flow generation. We are building a culture of resilience through our global organization. This includes an acute focus on inventory management, with increased disciplined forecasting and stocking, a review of our ROIC activities and investments, which we started to implement in Q4 and greater priority and flexibility of our resources to ensure our cost structure becomes more variable over time. Importantly, improving customer service levels is a priority as we execute these plans. As I stated earlier, we have started to make progress growing our used rental and power systems businesses as we continue to build capabilities in these strategically important areas. We achieved record used equipment sales in the fourth quarter, and our Power Systems revenue was up 31% in 2023 compared to 2022, with all regions achieving double-digit growth. We are pleased with our rental performance. Our primary focus is on Canada, where 2023 rental revenues were up 7% from 2022. As we look ahead, we continue to build a safe and secure company, which makes it easier for our teams to better serve our customers and empower our employees to drive customer loyalty. Our recent employee experience survey showed that our sustainable employee engagement score has improved since we last conducted this survey in 2021, with encouraging trends across all regions and job roles. Our focus in 2024 is on executing our strategic plan, cementing the new earnings power of the business by growing product support, building full cycle resilience by unlocking invested capital and delivering a sustainable growth in rental used and power systems. We expect the post-pandemic growth to moderate but remain positive, driven by constructive commodity prices, improving supply chain and market share opportunities. We are entering 2024 with a healthy equipment backlog and our workshops are busy. As we build on our 2023 results, we are confident in progress towards our Investor Day targets. I will now hand it back to Greg to provide a greater level of detail on our fourth quarter results.
Greg Palaschuk: Great. Thank you, Kevin. I'll talk about our fourth quarter performance now in more details, and I'm turning to Slide 3. Our net revenue in Q4 '23 was $2.4 billion, up marginally from 2023. The adjusted EBIT and EPS were up 9% and 7%, respectively. Our adjusted EPS was $0.96 in Q4, bringing the 2023 adjusted EPS full year total to $3.91. Our fourth quarter results were adjusted for three significant items: first, Argentina. Changes being made by the newly elected government have the potential to be positive in the long term. The extreme currency controls in place during the fourth quarter election process, combined with the large subsequent devaluation of the peso, resulted in challenging operating conditions, a large foreign exchange loss for Finning and many of our customers. With no material access to U.S. dollar starting in late August, our peso exposure increased significantly. And during this period, economic hedges were not available. In December, the government devalued the official rate from ARS 367 to ARS 800 per U.S. dollar, which led to a foreign exchange loss in Q4 of $56 million or $0.37 per share. Starting in January 2024, currency access has been reestablished for new imports and economic hedging alternatives are once again available. In early February, we began a series of transactions to reduce our peso balance to 0. The cost of this program is being covered with significant support from our key suppliers. Our exposure and risk of losses are much lower today compared to the fourth quarter of 2023. We're actively monitoring the new rules and policies of the new government. We continue to evolve our operating model to get a low-risk approach in Argentina in 2024. The other two adjustments in the quarter are related to actions taken to optimize real estate and exit low ROIC activity. As part of our Antofagasta master plan we reviewed at Investor Day, we sold our Antofagasta construction branch in Chile for gross proceeds of $16 million and recorded a gain of $13 million. We also recorded a $12 million write-off related to decommissioning of low-ROIC by operating cost IT systems. Overall, adjusted EPS of $0.96 per share in the quarter demonstrated solid underlying operating margins and earnings capacity, while we managed through several challenges in the quarter. On Slide 4, you can see changes in our net revenue by line of business compared to Q4 2022, the composition of our equipment backlog by market sector. New equipment sales were up 22% in Canada, up in all sectors, which was offset by lower new equipment sales in South America and the U.K. and Ireland, resulting in an overall decline of 4%. Lower new equipment sales were more than offset by increases in other lines of business, particularly in used equipment, which increased by $44 million or 48% year-over-year to a record level within the quarter. Product support growth was 1%, which was at the lower end of what we're anticipating, and I'll review the product support drivers by region on subsequent slides. Our equipment backlog of $2 billion was down from September due to strong deliveries, of course, outpacing order intake. Overall equipment backlog remains solid. Canada and U.K. and Ireland, order intake in the fourth quarter was significantly higher compared to sequentially from Q3 of 2023. The pace of quoting activity remains strong, particularly in mining in Canada and Chile, as well as data centers in all regions. Power systems request for proposals have been particularly strong, and we're actively quoting a number of proposals into 2025 and 2026. Turning to Slide 5, which shows our adjusted EBIT performance. Gross profit as a percentage of net revenue was comparable to Q4 of 2022. SG&A as a percent of net revenue was 17%, was down 60 basis points from Q4 of 2022, due to lower LTIP expense and continued productivity initiatives. Adjusted EBIT was up 9% year-over-year. Adjusted EBITDA as a percentage of net revenue and grew 60 basis points to 9.6%. The bottom right corner, you can see the full 2023 adjusted EBIT as a percentage of net revenue by region, which was 10.4% for Canada, 12.1% for South America and 4.9% in the U.K. and Ireland. All significant improvements in the -- compared to the average over the last 10 years and a key driver of our improved earnings capacity and ROIC. Moving to our Canadian results and outlook, which are summarized on Slide 6. New equipment sales were up 22% from Q4 2022, with broad-based strength across all market sectors. Used equipment sales increased 34% year-over-year, driven by strong sales across retail and wholesale channels. Product support revenue was down slightly from Q4 2022, as unseasonably warm weather delayed the start of winter programs, producing equipment utilization and construction in the mining sectors. The completion of several major projects also slowed some construction activities in the near term. Additionally, Q4 2022 product support included revenues related to the autonomy conversion of a 797 fleet in the oil sands which did not repeat in Q4 of 2023. Adjusted EBIT was down 5% from Q4 2022, due to higher proportion of new and used equipment sales and revenue mix. SG&A as a percentage of net revenue was comparable to Q4 2022. This February marks the fifth year since our acquisition of 4Refuel. 4Refuel has been a strong contributor to growth in Canada, achieving 80% growth in EBITDA since acquisition. In addition, the business has generated strong positive free cash flow every year. 4Refuel is run by a very passionate and highly engaged management team and group of employees. We're very proud of their strong execution and overall performance. Our outlook for Western Canada is positive. While the completion of major pipelines have slowed some construction activities in the near term, we expect to see increased activity in the energy sector and production growth going forward. Our mining and energy customers are expecting to increase spending levels to renew and maintain their fleets. In the oil sands, we anticipate strong demand for product support, including component remanufacturing and rebuilds. In Construction & Power Systems, we expect ongoing commitment from governments on infrastructure development as well as growing demand for sustainable power solutions. Turning to South America. I'm on Slide 7. In functional currency, new equipment sales were down 24% from Q4 of 2022 due to challenging market conditions in Argentina and lower sales to mining contractors. Product support revenue was up 5% year-over-year, led by mining. Adjusted EBIT was up 6% from Q4 '22. Adjusted EBIT as a percentage of net revenue was up 120 basis points to 12.6%, primarily due to a shift in revenue mix to product support. Adjusted ROIC of 27.6% was up 310 basis points from Q4 of 2022, reflecting both improved profitability and invested capital turns. Our outlook for Chile mining is strong, supported by growing demand for copper, recent government approvals of large-scale brown field expansions and increasing customer confidence to invest in new projects. We continue to see strong demand from large contractors supporting mining operations in Chile, while infrastructure construction activity is expected to remain stable. Additionally, Power Systems activity is growing in industrial and data center markets. Lastly, as discussed earlier, we're taking a low-risk approach in Argentina in 2024. Please turn to Slide 8 for our results in the U.K. and Ireland. In functional currency, net revenue decreased 10% from Q4 2022, reflecting a slower construction market in the fourth quarter. New equipment sales were down 16% due to the timing of power system project deliveries and lower construction sales. Q4 2022 sales benefited from higher power system project deliveries and HS2 deliveries. Product support revenue was down 6% from Q4 2022 due to slower activity in the construction sector. For GDP growth below 1% in the second half of 2023, we're seeing customer restrain and lower activity levels, which we expect to continue in the first half of 2024. Used equipment revenue was strong, up in the quarter 48%, reflecting our efforts to capture a larger share of the used market in the U.K. Adjusted EBIT as a percentage of net revenue was 2.7%, a portion of fixed costs in SG&A and lower volumes, persistently high inflation contributed to lower operating leverage. We expect demand for new construction equipment in the U.K. and Ireland to remain soft. However, we are expecting growing contribution from used equipment and power systems as we continue to execute our strategy. In Power Systems, we see strong demand for both primary and backup power generation in data center and utility applications, significant increase in quoting activity for orders into '25 and 2026. Product support is expected to be resilient. We expect modest growth in 2024 and continued market share gains, rebuilds and CVA penetration. From a free cash flow perspective, we generated $280 million of free cash flow in the fourth quarter, resulting in net debt to adjusted EBITDA of 1.7 times to end of the year. We expect our free cash flow to follow a normal seasonal pattern in 2024. Importantly, we're working to increase our invested capital velocity, the goal to unlock $450 million of capital by 2025. We are pleased with 20% adjusted ROIC achieved in 2023, and we'll keep building our momentum in 2024 in a moderating but steady growth environment. Our focus is squarely on executing our strategic priorities, progressing towards the targets we outlined at Investor Day. This will drive improved earnings consistency and support our overarching objective to deliver a strong return on invested capital through all market conditions. Operator, I'll now turn the call back to you for questions.
Operator: [Operator Instructions] Our first question comes from Jacob Bout of CIBC. Please go ahead.
Rahul Malhotra: Hi. Good morning. This is Rahul on for Jacob. So on the product support side, sales were at the low end of your expectations. So would you say that Q4 was just sort of a one-off quarter? And what are you seeing so far in Q1? And in regards to the delayed start to the winter programs that you mentioned in Canada, does that essentially mean that the work there has been pushed out from Q4 to Q1?
Kevin Parkes: Yes, sure. So I'll take that. So for sure, there were some challenges in Q4. We don't want to make excuses, but there are reasons for that. And so in Edmonton, where I live, we didn't have any snow in November for the first time in 100 years. And what that does is it delays a couple of things. One is the start of winter programs because in some contracting applications, you require the ground to freeze because it's so soft up there to be able to move, particularly like moving overburden to start for the new mining areas in the oil sands. The second thing is, typically, when we see a real cold snap particularly in the oil sands, we see winterization or some effects of the harsh winter on the aged equipment. And both of those things didn't happen and we didn't really get cold until the middle of December. And straight away when we got cold, we saw both of those things started to come back into action. And then so as you think about going into this year, then we had a ridiculously cold snap in the second week of January, which created some more operational challenges, but more normal than what we see. But it was just a real peak of activity, which we needed to get through. But of course, we only have a certain amount of capacity to be able to do that work. But I would say that moving into January, it's a lot more normal in terms of how we anticipate the activity up in the oil sands. The other thing, as Greg mentioned that there was some -- we anticipated some kind of construction activity disruption in the fourth quarter, because we knew the pipelines and some major projects like the Calgary Ring Road and Site C were going to come to an end. And the transition of that from -- into new infrastructure projects and then moving from building pipelines to filling them, that's where we're at right now. But we expect things to return to normal and continue on the path we've been on in Canada in line with our Investor Day targets.
Rahul Malhotra: So looking ahead, would you say you're still confident in hitting those Investor Day targets of above 7% per year or so?
Kevin Parkes: Yes, I think it was 6%. But ultimately, yes, we are. We never said, and we don't -- it's not a linear process, and it's certainly not linear quarter-by-quarter. But we do expect those targets to be in May. We don't believe this is a peak. We have room to grow, and we have market share opportunities. Our earnings capacity structurally improved, as I talked about at our Investor Day. We've added 1,000 technicians over two years and delivered over 100 ultra-class trucks into Chile and Canada. And so there are some structural changes there that are structural achievements, which will continue on the path that we talked about in September.
Operator: Our next question comes from Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Good morning, guys. Just on your plan to unlock $450 million of capital, what cadence should we expect to achieve that goal by 2025?
Greg Palaschuk: Yes. Certainly, it's a focus throughout both years, and it's a combination. As I highlighted in my comments, I do think it will have normal seasonality this year, which means some stocking for the spring selling season, beyond the spring selling season, we think that's when we really make that hard pivot. So as Kevin highlighted, really we're focused on that working capital through the year that builds through the year and straight into 2025. So some of the moderating growth rates that we see and some of the stored up profits within the business, we expect to make a particular progress in Q2 and on.
Yuri Lynk: Second question is just on used equipment. Very impressive growth in the quarter. Was that related to one or two large package sales? Or is that indicative of the new run rate under your current strategy?
Kevin Parkes: I wouldn't say it's indicative of that right, Yuri, I would say it's indicative of our ambition and what can be achieved. It was across the board in all three regions, and it certainly wasn't a function of one or two sales or activities. Used equipment is about participating differently. It's about asking different questions. And used equipment, people think about used equipment sales being the most important. Actually sourcing is incredibly critical. And we're building capabilities there. We brought capabilities in from an expertise into the company. And they're educating and training, traveling with and participating with our salespeople and customers and making sure that customers understand we have an appetite to participate in the used equipment business. The U.K. is a very unique island, and we've -- in terms of products used equipment generation, sales were up 48% in the quarter. And it shows you what's possible, if you participate more deeply and engage earlier with customers. So I would say that for sure we had a real sales push and drive in the end towards the end of the year. But we're optimistic. It's part one of our three sustainable growth opportunities that we're focused on and we're optimistic that we can continue to participate more and grow our used equipment business sustainably over time.
Operator: Our next question comes from Michael Doumet of Scotiabank. Please go ahead.
Michael Doumet: Hey, good morning guys. Greg, you called out the loss in Argentina related to the devaluation of the peso. So that's in the financials. Just wondering how large the decline was in the operating profit in that business year-on-year, that's not really kind of adjusted for, and thinking what that looks like for 2024 versus the comps?
Greg Palaschuk: Yes. Within Q4, I mean, obviously, when you make the adjustment, there is some amount of FX that has a cost every quarter. So there's about $3.5 million of loss that still be within the report or the adjusted results. From this year perspective, I mean, we're obviously taking a very low-risk approach. As we highlighted, we're just in the process of finalizing -- reducing our peso balance to zero with support of our suppliers. So our go-forward exposure is much different position. And then, of course, we're going to take a cautious approach. The government is making a lot of bold moves and we need to see that they are working and that the access is consistent before we pick the business back up. So we've got kind of a low, medium and high case of activity planned for this year, but all are below last year. And so it will be definitely be slower for the first half of the year. We'll have to see how things are working and how we can work with customers on imports and what method we use. So we'll take a low-risk, cautious approach, and we'll see how much activity we can do in a low-risk play, and we'll make sure we have all the checks to make sure the new currency access is maintained and the programs, the government is putting in place continue to work and be effective.
Michael Doumet: Perfect. And then also just turning to the U.K., I guess, profitability there looked quite sensitive to the lower sales. If I compare to last year, product support was still -- the profit was down. Just wondering if that business needs to undergo any adjustments as it relates to how much fixed versus variable, the cost structure is?
Kevin Parkes: We're -- I mean, just the U.K. is super sensitive to any movements in revenue and why more sensitive to movements in new equipment revenue than the other two regions? Because of the mix and the contribution. For sure, we were coming off record highs in '22. I'm super encouraged and pleased, Michael, that product support mix in the U.K. has never been higher and absorption continues to improve, which is good for the long-term resilience of the business. And we see order intake, some green shoots there, particularly in Q4. And so I think the market was down 3% in the first half of the year and 16% in the second half of the year. We see that improving as we go through 2024, '25, certainly more so in the back in the second half of the year. And as the macro improves, going into '25, which is our assumption, we see that equipment sales coming back to complete or so. So ultimately, product support is also more SG&A-intensive. We added Hydraquip, if you remember, about a year ago, which changed the SG&A kind of framework in the U.K. They are super focused in there about building their resilience and looking for opportunities in terms of how they run the opportunity. But I don't foresee any kind of structural or fundamental changes to the cost structure there. We're going to continue the strategy, follow some product support growth, which is good for the long term and the long-term resilience and make sure we participate healthily in new equipment sales. As Greg mentioned and I mentioned a couple of times, we really believe that used equipment can contribute more. And the power systems sales or sales backlog and quoting activity is stretching out now well into 2026, which again, forms another really strong foundation for the U.K. business and so for sure, towards the second half of the year, but we don't see any -- the strategy is still in play. We don't see any need for any kind of real structural changes. And we're optimistic about both new equipment sales recovering slightly as we go through the year, power systems backlog continue to build and used equipment making a big contribution.
Michael Doumet: Helpful. And I'm going to try to sneak one in, but it does seem like the comps for the first half for Argentina and the U.K. are going to be a little bit more challenged and understanding that those are a smaller part of the overall business. But wondering if there is overall just the first half, second half, story for the earnings profile for Finning in 2024? And if there's a little bit more normalization in the first half versus the second half?
Kevin Parkes: Yes, I think that would probably -- I mean I think mining in both regions is robust. And so we're confident that we can keep lapping those comps in the kind of Investor Day range construction is a little difficult, and we would definitely see a kind of first half, second half kind of trajectory. So I think that's how you should think about it. Chile's construction is recovering quicker as the macro improves quicker than the two regions. And like I said, super encouraged with order intake in Q4, up in all regions in construction quarter-over-quarter and year-over-year. So there are some green shoots, green shoots there, which will be delivered through the course of the first half of the year here. So -- and then power is relatively long and is project oriented. If you look at the U.K. business, they had a super strong Q4 in '22. Again, we're not trying to make excuses here, but there are reasons. And they had a super strong product -- power systems project delivery in Q4, which didn't repeat this year, but I couldn't be happier with the backlog and the quoting pipeline for our products -- our power system projects business. It's really impressive and it's going to serve us well, with a real good foundation and base level revenue across all three regions, but particularly the U.K.
Operator: Our next question comes from Steve Hansen of Raymond James. Please go ahead.
Steven Hansen: Yes, thanks for the time guys. Look, I understand it's lumpy, and it's hard to maybe give any guidance or cadence quarterly, but how should we think about the '24 outlook in the context of new equipment versus product support? You've defined, I think, Kevin, earlier, you tend to still grow in your outlook for '24. You said you're not at the peak yet, but how should we think about the ultimate contribution from those two sides of the business in '24? New equipment down slightly, product support to offset, I mean, how do we think about that?
Greg Palaschuk: Yes. I think it's a steady growth environment overall. I mean, we've obviously been more explicit about product support, but I think it's steady growth as well. I mean I know backlog is down a bit, but $2 billion is a really good place to the begin of the year, right? Obviously, a healthy, healthy portion of that is for 2024. Of course, we'll continue to keep selling. So I think having a $2 billion backlog at the beginning of the year is a good indicator. And like you said, we've had solid order intake in Q4 higher than Q3 in all regions. And so we'll continue to sell and deliver. And obviously, we've got a lot of inventory we need to sell through and not 100% of it is committed to customers. So we think it's a steady growth environment. Our resources and focus are going to product support, but new equipment, I think fits in the steady growth environment, too.
Kevin Parkes: Yes. You mentioned, Steve, about the lumpiness that, again, I'm very conscious not to bank excuses, but I do think quarter four warrants some explanation. And ultimately, there were one or two things in the mining businesses in Canada and Chile, which would have dramatically improved product support, certainly made it positive in Canada. We mentioned the autonomy kits, but there was also some pre-buying that on balance, we typically expect that didn't happen. And then just across both Canada and Chile, we're talking about five or 6 trucks that could have gone in 2018 December that will go in Q1, it didn't happen, and that would have had an impact on our new equipment revenue, particularly in South America. So there are some things that move around, and we're going to work really hard to get better visibility and forecast those things, but there are operational challenges we face. Whether supply chain challenges that sometimes it's just difficult to identify when some of these bumps which quarter are they going to drop in, but it doesn't change the structure at our Investor Day and the traction travels in the company.
Steven Hansen: Okay. That's very helpful. And just to follow-up on your earlier comments, again, on the product support side. I think you've just answered a little bit. But just the weather issues, in particular, were cued on one side in Q4. The cold snap that hit early in Q1, is that an impediment in the short term as well? Or how we think about that as we lead in through the first part of the year here?
Kevin Parkes: I don't think it's an impediment. I think it was -- what I'm trying to describe there is an incredible coal snap where it impacted a lot of machines very quickly. And clearly, which you would say is really good thing and we need to get those machines, those trucks up and running as quickly as we can for our customers. But there is a finite capacity in terms of workshop-based technicians and then parts supply to be able to do that. So the amount of vehicles that were impacted by the minus 50 temperatures was probably more than we would see in a typical cold snap. And so I don't expect to see a few -- it was a peak of activity for sure, but we need to work through that through the course of the months in the quarter. I would say it's a -- the oil sands is more of a -- in a normal state now.
Operator: Our next question comes from Cherilyn Radbourne of TD Cowen. Please go ahead.
Patrick Sullivan: Good morning. Thank you guys for taking my question. This is Pat Sullivan on the line for Cherilyn. Can you speak to the high level of inventory at year-end and the extent to which it is related to scheduled 2024 deliveries?
Greg Palaschuk: Yes, sure. I can talk to that. So yes. Certainly, inventory being on the elevated side. There was some progress in the quarter being down quarter-over-quarter. A lot of, as Kevin highlighted, a substantial majority of that is committed, we're working our way through the system. We're delivering quite a few -- continue to deliver quite a few trucks which are large blocks. And a huge focus through the year to bring that inventory back in line with more historical levels. So getting at closer to that 29% working capital to sales level, we certainly want to bring that back down as guided in the Investor Day to back into mid-20s and new equipment would be a big piece of that. Parts velocity is improving. We'd like to improve faster. The whole teams are working around the world on improving that, normalizing that. So definitely a huge focus for the year and that will be a big generator of unlocking net working capital and highlighted earlier in Q2 and beyond.
Patrick Sullivan: Okay. And then I guess, to what extent would you attribute the moderation in your year-end backlog to supply chain normalization versus a change in the level of order and quoting activity?
Greg Palaschuk: I think it's two things, Pat. One is there's definitely a supply chain normalization element. So we now have stock that we can sell off the fence, which hasn't been the case for a couple of years here. And that obviously, that generates backlog, which you would declare has to be unusual. But there's also the lumpiness in the proportion of our backlog, which is power systems and mining mix now, which is just lumpier. So if you -- the biggest example of that would be in South America, where we have large opportunities and large adds to the backlog and then periods where we don't have add to the backlog for maybe a quarter. Again, encouraged, we have the Escondida opportunity that we've talked about where we add to that backlog as the delivery program progresses. And we're still optimistic. More activity in the oil sands is there. The publicly disclosed capital spend figures are set to increase this year. So we're not concerned at all about backlog and we're still really pleased to see it at a healthy level.
Operator: Our next question comes from David Raso of Evercore ISI. Please go ahead.
David Raso: Hi, good morning. Thank you for taking the questions. I was curious about pricing for '24. How are you thinking about pricing? And I assume there's a bit of a difference geographically and machines versus engines. Any way you can help us with pricing that you expect to be shipping out of the backlog? And maybe even more importantly, kind of new orders, how should we think about pricing on a year-over-year basis. And of course, any color you can provide us on incentives being provided from any of your OEM suppliers would be helpful.
Kevin Parkes: Sure, David. So we are entering in a normal supply chain environment and therefore, more normal pricing environment. And so in my 30 years, I would suggest that the environment we're in right now is typical to what I would have experienced when I was selling equipment or being a sales manager. We are really pleased with our market share gains on GCI, which is super critical for our product support growth in the future. So GCI being our kind of top 14 models that we calculate to have the best product support opportunity outside of mining. And really encouraged with Finning's market share in Canada and Chile towards the end of last year. So teams are doing a great job there. So that would suggest that we are competitive and that we're getting the right propositions in the marketplace in support with our OEM partner. And we always have to be competitive. We need to be mindful, as you mentioned, David, of mix. And so typically, mining equipment margins tend to be a little lower. So when we look at the mix as we delivered in the quarter, it's important to double click on that and understand what's going on there. But that business is so strategically important. We're very, very focused on winning that. So I would suggest that we're entering a normal pricing environment. The one exception, I would say to that, David, is probably used equipment, which has been so elevated for a number of years now. And so typically, we see used equipment slightly higher than new equipment margins, and that's still the case, and we see that playing out in the future.
David Raso: So can I take that answer to mean do you believe your retail pricing will be able to stay flat to up for the year? I just want to make sure the normalization is a normalization and how you usually think of growth in pricing or do prices have to moderate a bit, given the high levels we're coming from?
Greg Palaschuk: Yes. No, on a new equipment basis, it obviously didn't move as much as the used side. And so in 2022, there were some outsized increases both on equipment and price. And I think we're now back into the kind of normal low single-digit type increases.
David Raso: That's helpful. And just a quick follow-up on mining. I'm just trying to be thoughtful about mix for '24 and what you plan to ship. For the oil sands, I thought there was a decent opportunity this year to replace some of the 797s that are aging. And I wasn't sure if I heard that in the prepared remarks or the slides. I didn't see any mention of that. I know you mentioned the rebuilds are strong, but I thought there was maybe a strong new opportunity this year. And then somewhat related down in South America. How is CAT doing providing you the strength that you're seeing in the electric drive trucks. How are they doing ramping up production of the 798 as well as any comments on the 794 would be helpful.
Kevin Parkes: Yes. So our Escondida program is ahead of schedule and going really well. You saw that, David, when we were going down there. And so we're a little bit ahead of schedule there and really pleased with the progress. And likewise, I would suggest, hopefully times are completely manageable, and we're working with our customers. I was with a big customer day before yesterday. And we've been very transparent, looking at mining plans, looking at expansion plans and working really, really hard with Caterpillar. They are very in tuned with that part of those discussions. And so they're modeling that into their supply chain. And so building pipeline, I guess, in terms of the number of trucks they're building. So we feel that we're certainly not incumbent from a supply chain or a lead time perspective in that regard. And to your first question there, for sure, we expect to add trucks to the oil sands this year. We still -- the oil sands are still working in a very restrained fashion and very thoughtful around their capital allocation, whether it goes to their plant or their mobile equipment, and so we're working through that and trying to think of some innovative ways to support them. But we added 30-odd trucks to the oil sands last year and we think we're going to continue to add trucks this year.
David Raso: Okay. So no real change in your view on oil sands new trucks to be delivered this year, is that correct?
Kevin Parkes: That's correct.
Operator: Our next question comes from Sabahat Khan of RBC Capital Markets. Please go ahead.
Sabahat Khan: Great. Thanks and good morning. You provided a bit of color, I guess, on South America. We're just seeing some headlines around kind of the political environment there being a bit volatile kind of through Chile and a little bit through Argentina. Just wondering, as you think about your larger customers there, once the royalty was set and some of the visibility, I guess, increasing visibility to the constitution, are they pretty comfortable making longer-term plans at this point? Or how are they thinking about that? I know there's a bit of a pause before some of the dust settled on those two issues, but just curious how those CapEx plans are kind of getting put in place now, are they're back on track.
Kevin Parkes: Yes, I would say that we continue to be encouraged in Chile, Sabahat. There's been a number of brownfield expansions announced in the last year. QB2 is going to ramp up significantly this year. And so that's additional capacity coming on. So I would describe the environment in Chile is constructive and the royalty and political stability are stable, which supports investment. Clearly, a slightly higher copper price, but we pushed that along a little bit more. But the current dynamics are constructive to continued investment. And so yes, that's Chile. In Argentina, that's a difficult one time. So right. I mean a lot of international countries and a lot of our mining opportunities, as we've discussed previously, and I know there was a delegation down in Argentina a couple of weeks ago from Canada that met with the new President and -- so that's the option value we see in Argentina. But we've been really thoughtful about that, thoughtful about our relationship with those international mining companies, making sure we have a balanced approach around risk, so it doesn't all fall on Finning. And so I'd say that the outlook for mining and resource development in Argentina is net positive to where it was middle of last year given the change in government. But lots and lots of hurdles to jump as we go through that process. But pretty stable and confident in Chile.
Sabahat Khan: Great. And then maybe just on the CapEx side, maybe more for Greg, if you can just walk us through what some of the maybe the larger buckets are? How big of a mix for rental fleet is as part of that CapEx and sort of how we should think about that in terms of cadence for the rest of this year, how that will flow through?
Greg Palaschuk: Sure. So slightly up year-over-year, as has been the theme for the last couple of years, more focused on rental as a proportion, over, say, past a little bit more IT in the balance. And so that's the general profile. As we walked through at Investor Day, we'll be doing some facilities or build out in the Antofagasta region. We sold the branch first, so it's self-funded. We'll spend that money with -- start spending that money within the year. So a bit more on facilities in South America, a rental focus and capacity expansion and automation of some warehouses that we continue in Canada, but also as we walk through South America.
Sabahat Khan: Okay. Great. And then, I guess, just broadly, I'm assuming similar kind of capital allocation strategy based on this CapEx number in terms of buybacks, et cetera, just if there's any change on that as we head into '24?
Greg Palaschuk: No change. We look to continue growing the dividend, look to buy back about 1% of the fourth quarter. And we expect to unlock working capital and generate more cash and pay down debt. And obviously, interest rates are high, and so that will make some impact in the second half of the year as we generate the cash. So that continues to be the plan.
Operator: [Operator Instructions] Our next question comes from Maxim Sytchev of National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, everyone, Shannon. Kevin, I was wondering if you don't mind maybe commenting on kind of the success of your wholesale channel initiative on the used front side of things first, if you go don't mind?
Kevin Parkes: Yes. So we're building a number of new channels in used equipment. So in the quarter, we launched a marketplace or an online continuous live bidding environment, which you've seen -- which we've had before. And you see in other places and so it's a pretty common channel, and it's a channel that Finning should have. And we're really pleased -- the most encouraging thing we've seen in that, Max, is the net new customers that we're finding through that channel, very high proportion of customer interactions to that channel are customers we don't know and that are new to Finning. So that's really good. Obviously, the team are also working on retail, physical retail, really partnering and traveling and supporting our sales -- our existing sales force and on growing that channel as well, we're touching all the customers every day. And that's not one you just sell in that source as well. And then the wholesale channel is really encouraging. We're building capabilities there. We've always had a really good base of capabilities there. And I think with the new leadership we have there, it's really empowering and unleashing the potential we have in the wholesale. Wholesale has come to Finning. They always have done our work in used equipment for a lot of years. We don't have a difficulty finding wholesale people to come and work with Finning. It's how you manage the balance and the mix between the different channels and making sure that our primary focus is on end-use population, particularly in our own territories. So -- but I would say on all three primary channels, we're making good progress. And I think we had a really strong end to the year. As I said to a previous question, I wouldn't expect that level of growth to continue year-over-year, but I do expect the business to continue to build as regards to '24 and '25, particularly as used equipment becomes more fluid in the industry.
Maxim Sytchev: Is it fair to say that this would be kind of a higher-margin business and kind of sit in between or maybe even above product support? Or how should we think about that?
Kevin Parkes: I wouldn't say used equipment is product support. I think it's a massive contract. Our primary reason for being in used equipment is to drive product support, to drive population. We know that where we sell to an end user, the propensity of our -- us achieving a strong product support relationship and service contract is way higher than in the aftermarket where if somebody else sells the equipment. But I wouldn't suggest that used equipment is -- I wouldn't suggest that used equipment is a product support kind of profitability levels. But certainly, it's an enhancement, I think, or an increase to new equipment levels. But more importantly, it's a fantastic way to build population, to win new market share and to build resilience in our organization that we've got the capabilities to move stock as and when we need to as the cycles move around.
Maxim Sytchev: Okay. That's fair. And then in terms of the product support, I mean you still think that sort of that 7% CAGR that you telegraphed during the Investor Day. I mean this is still visible based on what you're observing right now from a client perspective, right, especially in 2024?
Kevin Parkes: Yes. I think I already said that, Max, to your previous question. I think it's 6%. But ultimately, I don't think it's a straight line and another straight line quarter-by-quarter. I'd be encouraged by what we've seen since the middle of December. But certainly, as we mentioned before, October and November were difficult months for us. But there's no way we're coming off those targets that we presented in September. But, we don't, given the softness that we're seeing in construction, it's maybe not a linear process -- linear line over the two years. And certainly, we all assume that the macro is going to be -- is going to improve as we move through the year and into next year. So that will help us there. But we're not -- nothing to suggest we're coming off those targets at all.
Maxim Sytchev: Yes. And I guess, I mean, how should we think about sort of the age of equipment in the field? Should it not be a tailwind as well for the business on a prospective basis? Or how do you think about it?
Kevin Parkes: Yes. Of course, I mean, the equipment continues to age, but then we've added a 100 ultra-class trucks over two years, they're new, right? So they don't consume the same product support intensity, they'll start to get components now. So we'll get a tailwind from that. So the way I would look at it, Max, is we've added 1,000 technicians over two years. We've added workshop capacity and we've no plans to let any technicians off. So those technicians are going to work and they're going to continue to grow. Now the technicians have slowed year-over-year, and they'll slow again going into this year so we want to be really thoughtful and provide security for our employees. But we are adding capacity, and we measure every day how productive that work proceeds.
Maxim Sytchev: Makes sense. And then just one quick one for Greg. I guess. In terms of sort of capital allocation, I mean, I realize that you mentioned sort of the NCIB. But in terms of -- like it feels that the buybacks have been more sort of programmatic in nature, and I'm just trying to think about sort of to make sure that NCIB is not value dilutive because like I think you bought back stock around $0.38 on an LTM basis. Just again, maybe your thought process between one to kind of really lean into it. Just maybe any comments there.
Greg Palaschuk: Sure. I mean it's a pretty simple process. We build a business plan. We run a DCF of that business plan and make capital allocation decisions off of it. So we're happy to be consistent on that. But if there's bigger opportunities, particularly as we unlock more capital here, we'll look at more, but it's thrown off the DCF value, and then we look at the price on the screen. We'd like to be consistent on it. But if there's a bigger gap over time or -- and when we're successful in unlocking capital, we can look at higher levels if that equation works at that time.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Greg Palaschuk for any closing remarks.
Greg Palaschuk: Great. Thank you, operator. That concludes our call for today. I'd like to thank you for your participation, and hope everyone has a safe day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.